Operator: Good day, ladies and gentlemen, and welcome to the Blackstone Third Quarter 2017 Investor Call. My name is Tony and I will be your operator for today. At this time, all participants are in listen only mode. Later we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Weston Tucker, Head of Investor Relations. Please proceed.
Weston Tucker: Great. Thanks, Tony. Good morning and welcome to Blackstone’s third quarter conference call. Joining today’s call are Steve Schwarzman, Chairman and CEO; Tony James, President and Chief Operating Officer; Michael Chae, our Chief Financial Officer; and Joan Solotar, Head of Private Wealth Solutions and External Relations. Earlier this morning, we issued a press release and slide presentation which are available on our website. We expect to file our 10-Q in a few weeks. I would like to remind you that today’s call may include forward-looking statements, which are uncertain and outside of the firm’s control and may differ from actual results materially. We do not undertake any duty to update these statements. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our 10-K. We will also refer to certain non-GAAP measures on this call and you will find reconciliations in the press release and the shareholders page of our website. Also note that nothing on this call constitutes an offer to sell or a solicitation of an offer to purchase an interest in any Blackstone fund. This audiocast is copyrighted material of Blackstone and may not be duplicated without consent. So a quick recap of our results. We reported GAAP net income of $847 million for the quarter, up sharply from the prior year. Economic net income, or ENI, per share was $0.69, up 21% from the prior year due to greater performance fees as well as strong growth in fee-related earnings. Distributable earnings per common share, was $0.52 for the quarter, up 8 % from the prior year. We declared a distribution of $0.44 per common share to be paid to holders of record as of October 30th. And with that, I will now turn the call over to Steve.
Stephen Schwarzman: Thanks a lot, Weston and good morning and thank you for joining our call. Before I start I just wanted to wish our General Counsel, John Finley a happy first day whom does an amazing job to the firm. Blackstone itself has reported excellent - better results for the third quarter as you just heard from West. Continuing our momentum of strong growth and economic net income, cash earnings and assets under management. On a year-to-date basis, ENI rose 60% to $2.5 billion, while DE increased 78% to $2.6 billion and we remain on-track to deliver one of our best years ever for DE based on sales already signed up which Michael Chae will discuss in more detail. Blackstone has long been the clear leader in the alternative sector in terms of AUM fund raising and earnings as you all know, but our financial performance illustrates a broader leadership beyond alternatives, comparable to some of the most recognized names in global money management. In fact for the past five years Blackstone is ranked one of the top two or three asset managers in the world in terms of earnings. Where an elite group that includes our friends and former colleagues at Blackrock which manages nearly $6 trillion and does a terrific job and also Fidelity which manages over $2 trillion and Fidelity of course is private, so investors can only benefit from the earnings power of this group by owning either Blackrock and Blackstone and they are both really terrific choices for you. Blackstone’s significant earnings power continues to grow, total AUM rose 7% year-over-year to $387 billion another record for the firm with leading global platforms across the alternatives universe will become the referenced institutions for limited partner investors who wish to deploy billions of dollars across asset classes. That’s a long way from the firm’s early days of raising commitments of $5 million to $10 million a piece. The third quarter was our strongest quarter with capital inflows over a year reaching nearly $20 billion in one quarter across an ever growing array of products and with some of fund raisings and other initiatives underway, we expect our fourth quarter AUM to significantly surpass today’s reported numbers. One example, earlier this week, as Tony mentioned on the press call, we closed our acquisition of Harvest a leading manager in the MLP space which will complement our existing credit and private equity focused energy teams. In addition to enhancing our capabilities in this area, we plan to make their products more widely accessible to a broader range of LPs including retail where they really don’t have a presence. This strategy is similar to how we are successfully bringing Blackstone Real Estate to retail investors with our non-traded REIT product called inspirationally, The REIT. Harvest will only add $11 billion to our AUM in the fourth quarter. Even if the firm continues to grow, returns have remained strong across a larger and more diverse capital base. In the third quarter for example, our real estate opportunity funds appreciated 5.5% as compared to the REIT index which is flat, now imagine that. We are up 5.5% public REIT index is flat and we were up 19% in the last 12 months. In private equity despite the drag from our public holdings in the quarter, the corporate PE funds appreciated 16% for the last 12 months. Since inception 25 to 30 years ago these two strategies have returned 15% to 16% per year net of all fees dramatically ahead of relevant index. We have a long record of successfully replicating our strong investment performance in business lines. Our new businesses benefit from the intellectual capital and reach of our existing ones and in turn further enhance the overall platform strength here at Blackstone. This becomes a virtuous circle and attracts further capital. For example, our real estate core+ platform which we launched less than four years ago is up to $18 billion in AUM, an increase of nearly 40% in one year. Our Tac Opps business is now up to $22 billion in AUM in about five years. Both of these platforms grew from investment opportunities we identified at the time they didn’t fit into the mandates of our existing funds. Today, they have reached global scale and remain two of our fastest growing areas. Another major area for us of course is infrastructure as you have heard. While we are limited in what we could say given we are fund raising now, restricted by the SEC from commenting, we are targeting a first close for our new fund by the end of the first quarter next year. As you know, we have already received up to $20 billion commitment from a sovereign investor which will flow into AUM as matching capital raised. We also continue to expand and diversify our fund raising channels including into retail. The power of the Blackstone brand is perhaps best illustrate of a high level of demand we are seeing for our funds across different sub channels including the wirehouses and private banks, independent broker dealers, the RIAs and family offices. These channels investors by and large have been under allocated to alternatives within their portfolios, some dramatically. We are helping them access institutional quality products in many cases for the first time, have established one of the leading retailer alternative platforms in the world now already representing 18% of our total AUM, and we have hurled major initiatives and process that I can't yet talk about here today, because sometimes people copy what we do. All of this taken together, our firm is clearly positioned for tremendous growth, importantly we are not growing just for the sake of growth and we never had. As we further broaden the suite of solutions we can offer our investors we have more avenues through which to find and create value basically anywhere in the world, this is particularly important in today's environment of higher prices where deal activities, slowed areas like U.S. opportunistic and distress investing. Instead of slowing down we have been able to remain very active in terms of new investments. In the third quarter, we deployed nearly $11 billion bringing us to almost $40 billion deployed over the last year. By far our most active 12 month period on record and more active than anyone in this type of investment area. Despite higher prices we are finding plenty to do around the world, virtually all major geographies are in positive growth mode and the outlook is improving. In the U.S. specifically the employment picture is strong and tax reform has the potential to further accelerate growth. There are some potential periphery including geopolitical risks, the potential for unfavorable policy outcomes and for central banks to tighten policy more aggressively than markets expect. But we remain broadly constructive on the prospects for global growth. Against this dynamic background I think we are doing an excellent job choosing our spots and building conviction around certain themes. For example, we moved aggressively into Europe early in the recovery focusing on fundamental value or situations where dislocation created compelling opportunities. This enabled us to ride out the shorter term volatility brought on some of the issues they have had like the Greek debt crises, Brexit and the ongoing impact of populism on several elections, these types of dislocations provide opportunity for a firm like Blackstone. Few great illustrations of this trend are Logicor, our highly successful logistics investment which we discussed last quarter and Alliance Automotive which we agreed to sell a few weeks ago. In the case of Alliance we acquired an autoparts distributor operating in the UK and France in late 2014, when we are investing in Europe and Europe was really out of fashion that people were wondering whether Europe would stay together. I remember at the time the prevailing fear about the monetary union and other issues regarding Europe and slow growth which is point of fact what was happening in Europe at that time. In the first year we expanded Alliance into Germany, and over the subsequent two years increased EBITDA by about 2.5 times by accelerating organic growth, completing 50 bolt-on acquisitions and two strategic ones that’s a lot of stuff to be doing but that’s how you make money in private equity, not just buying and holding. We are now selling the company for over five times our original cost. This is a company that makes autoparts, this is not a software company or a tech company, so that you can make a enormous money doing the right things in our business. It’s never easy, but that’s why our LPs choose us, we have been able to create great investment and outcomes and we are doing across a wider array of funds in the areas. Given the amount of capital deployed over the past several years, and the seasoning of earlier investments we are now seeing a very active pace of realizations at attractive returns driving substantial cash distributions for our shareholders. Over the past three years, we have distributed an average annual of about $2.50 per share of value driven by a over a $130 billion of realizations. Over the same period, despite this realizations and distributions assets under management still increase 36% to $387 billion while most money managers were actually shrinking. We have demonstrated that we can deliver consistently high payouts to our shareholder overtime, while simultaneously growing at a high rate and I have every expectation that this will continue. Looking forward, I have great optimism to the firm’s prospects, we will continue to leverage our differentiated business model, our unique market position, our highly recognized brand and most importantly perhaps our culture of excellence and integrity to drive great results for our LPs and our shareholders alike. Thank you for joining the call. I will turn it over to our Chief Financial Officer, Mike.
Michael Chae: Thanks Steve and good morning everyone. The third quarter marked a continuation of the firm’s robust momentum with consistent growth in all of our key revenue and earnings metrics. Total revenue for the quarter rose 21% year-over-year to $1.7 billion while economic net income also increased 21% to $834 million or $0.69 per share driven by strong double-digit percentage increases in both management and performance fees. Performance fee revenue increased 33% in the quarter to $895 million with healthy fund returns across steadily growing base of invested capital. Our investment record combined with business line expansion continues to attracts significant capital influence reaching $19.7 billion in the quarter and $62 billion over the past 12 months propelling AUM up 7% to new record levels both in total and for every business segment. Management fee revenue rose 15% year-over-year to $692 million as fee earning AUM also rose 7% to a record $286 billion. Fee related earnings rose 25% to $307 million with FRE margin expanding 340 basis points year-over-year to 44.3%. Stepping back from the quarter and looking at year-to-date results which are more informative than any single quarter. Total revenues rose 45% to $5.1 billion, ENI was up 60% to $2.5 billion and DE increased 78% to $2.6 billion. Fee related earnings rose 25% to $909 million by far a firm record for the period. On last quarter’s call, we outlined the base line path of FRE growth in full-year 2017 of mid teens or better. Given the performance and visibility we were able to refine and update that view to growth in the high teens or better, indeed 2017 is progressing to be one of the best years in our history, this is further evidenced by the sustained momentum and the key capital metrics driving our financial results. Realizations, investment performance, deployment and fund raising, and I will now discuss each in more detail. First with respect to realization in DE. We generated $8.8 billion of realizations in the third quarter and have a significant pipeline of sales not yet closed. The single largest realization in the quarter was Hilton where we sold about half of our remaining shares and also fully exited our stake in Hilton Grand Vacations, one of the three public company spin offs from the original investment. Our $6.5 billion investment in Hilton has now produced about $14 billion in profit equating to multiple 3.1 times including $1.2 billion of unrealized equity we still hold. Other realization activity in the quarter included a sale of several office assets in the U.S. and UK, certain other sales and Tac Opps, distributions from multiple portfolio company refinancing and notably our first realized cash performance fee from our core+ real estate strategy. Our third quarter activity brings us to $37 billion of realizations so far in 2017 with another $9 billion under contract including the sales of Logicor in real estate and Alliance Automotive in corporate private equity among others. These expected sales together with expected FRE and giving effecter interest in taxes should result in approximately $0.60 per share of DE in the fourth quarter prior to any further realizations, adding to our DE in the first nine months of $2.17 per share we therefore enter the fourth quarter with line of sight on over $2.75 of DE per share for 2017 which even prior to further realizations in the quarter would equate to one of our two best years for DE in our history. Second investment performance and ENI, we continue to see broad base strength across multiple global portfolio, real estate the opportunity funds appreciated 5.5% in the quarter and 19.2% over the last 12 months, while the core+ funds appreciated 3.2% and 12.4% respectively. Our real estate business in particular continues to disprove the notion that size is the enemy of returns. Even as AUM for the opportunistic funds has doubled in the past five years the performance has been exceptional. Indeed in the four vintage years between 2012 to 2015, in each year we invested 7.5 billion to 8.5 billion across the BREP funds and in each vintage we have delivered annualized growth returns of between 22% to 25% to-date. This performance has been powered by many of our largest investments which include BioMed, our U.S. life sciences office portfolio, our India office platform, the Cosmopolitan hotel in Las Vegas, Invitation Homes and of course Logicor among others. These are some of the most important contributors to the firm's existing store value and bode well for future realizations. Moving to private equity. The corporate PE funds appreciated 3.3% in the quarter and 16% for the prior 12 months. Portfolio companies continue to report healthy revenue and EBITDA growth in the mid and high single-digit respectively driving appreciation in our private holdings of over 5%; that performance was partly offset by decline in publics in particular our largest public position in energy infrastructure company which has been an extremely successful investment for us and where we feel very good about this fundamental long term value. GSO delivered composite growth returns in the quarter of 4.1% and 2.7% in its performing credit and distressed segments and 14% and 11% respectively for the LTM period. For BAAM with a 2.3% composite growth return in the quarter and 9% for the LTM period, 89% of incentive fee eligible AUM is above its high watermark versus 67% a year ago. This positions BAAM to generate $44 million in performance fees in the quarter, higher than all of last year and nine month revenues of $573 million, nearly equal to full-year 2016. In aggregate, this performance across the firm has helped drive our net improved performance in the balance $3.6 billion, up 8% over the last 12 months and to its highest level in nine quarters. Despite that being a period in which we delivered some $105 billion in realizations, a powerful reflection of both performance and the growth in our investment capital base. Third, capital deployment. Our deployment remains very active, even in the face of the tricky broader market environment as Steve discussed. We invested $10.9 billion in the quarter across the firm and committed another $6.9 billion. How are we doing it? The answer is carefully and by leveraging our global reach, our scale and our multiple city platforms to seek value across the whole risk return spectrum and aggressively pursue things we believe in. Regarding our global reach and scale, only half of the capital we deployed or committed in the quarter was outside of US with about 40% Europe and Western Asia. Four of our five largest transactions across the firm were in Europe. In real estate, our commitment to acquire 51% interest in a 30 billion euro face value portfolio from a Spanish bank and our take private of a Scandinavian listed property company. In private equity, we agreed to acquire PaySay, a UK listed leading global payments provider. And in credit, our mezzanine fund provided nearly $0.5 billion in financing for the acquisition of a leading European industrial distribution company. Meanwhile our deal flow in Asia is quite healthy including for example, three committed transactions by BREP and BCP in the last two quarters involving public companies in the region reflecting our theme of finding idiosyncratic value and orphan listed companies in these markets. Regarding our multiple city platform, with a widening array of funds with diverse mandates, we can pursue value flexibly and selectively identify the best risk award in a given environment. It’s about having more weapons to deploy to express the firm’s intellectual capital and convictions and take advantage of deal flow that cuts across the firm. $2 billion of the $10.9 billion in third quarter deployments originated from our core and core+ strategies and private equity and real estate that allow us to invest in high quality assets of longer term holds. Each of Tac Opps and strategic partners deployed over $1 billion in the quarter with Tac Opps’ flexible mandate to pursue idiosyncratic opportunities with compelling risk adjusted returns, arguably making it the busiest part of the firm in this current environment. Of course none of the aforementioned platforms existed in the firm just five to six years ago. Lastly, on fundraising. As expected our pace of inflow has reaccelerated in the third quarter to $19.7 billion including first close of $5 billion for a second dedicated Asia real estate fund, $4.7 billion for a third GSO distressed fund bringing it to $6 billion raise and $2 billion for a third Tac Opps vintage. We expect each of three fund raises to reach or exceed $7 billion in size in the near term driving significant AUM growth at a time when neither of the flagship global BREP or BCP funds are in the market. Looking forward, we expect the pace of AUM growth to further accelerate in the fourth quarter and into 2018 driven by a variety of products and significant initiatives as Steve discussed. A final comment on two notable corporate developments. First, with respect to Harvest acquisition to add to Steve’s comments a little more color on this impact. We think this is really a attracted deal, this is a firm with a terrific high quality, high integrity team that is set the stand for investing in asset class with the flagship strategy outperforming it’s benchmark by 500 basis point over the last five years. Our institutional LP basis are very complementary with limited overlap and the retail opportunity is it’s [indiscernible]. Finally, with respect to financial impact on a run rate basis prior to future growth Harvest adds approximately $40 million and FRE and pre-tax DE, while we are not disclosing the specific valuation, we have structured the acquisition such that the upfront purchase price reflects the multiple of that FRE and pre-tax DE in the area of the mid single-digits. Second and in conclusion our balance sheet, at the end of September we issued $600 million of U.S. bonds split evenly between 30 years and 10 year maturities to refinance our notes maturing in 2019. We also took advantage of favorable conditions to executes cross currency swaps back to 10 year pound sterling and 30 year euro yields further hedging the firm’s P&L exposure to assets in those currencies. The result was lower funding cost and could have been achieve by issuing directly in those currencies and then in the case of euro market, the longest tenure available in the market is only 12 years. In effect we executed $600 million 20 year financing for the firm at an effective yield of 2.4% which reduces the firm to weighted average cost of debt from 4.4% to 3.7% and extends the average maturity from 12 years to 15 years. Indeed, 40% of our debt has maturities following beyond 2041. All are substantially neutralizing the FX volatility in our P&L. The early repurchase of our 2019 notes will result in onetime expense to DE and ENI in the fourth quarter of approximately $30 million which will recoup an interest savings in just over a year. The rating agencies reaffirmed our A plus ratings which are the highest of any alternative firm and best response for the exceptionally positive with operating six times oversubscribed and with the 10 year issue currently trading within 25 basis points at the lowest yield at any public ask manager reflecting investor confidence in our firm in business model. Our fortress balance sheet and our access to capital is truly source of strength the firm we believe with very low cost, very long life financing and ample cash and liquidity, we have tremendous flexibility to pursue a set of strategic opportunities that as you have heard on this call, we see us compelling and deep . With that, we thank you for joining the call. And would like to open it up now for questions.
Operator: [Operator Instructions] Your first question comes from the line of Mr. Craig Siegenthaler of Credit Suisse. Please proceed.
Craig Siegenthaler: Thanks. Good morning. I just I wanted to get an update on the retail expansion and really sort of two main points. One is how many retail wholesalers do you employee now. What does it sort of look like versus a few years ago. And then also given that 18% of your product now sits us retail. What does the product offering start to look like as you work the way down from the high network segment into the mass of volume?
Joan Solotar: Sure. Hey, it’s Joan. On the first question in terms of wholesalers, I just want to step back for a minute. So, this is really operating as a full business, and I don’t want you to think it’s just that where popping out some sales people and it’s just a sales organization. So to support and really partner with major firms, independent broker dealers, we have wholesalers, we have a sales reps, we have full operating support to fund accounting marketing, compliance et cetera, and that really has taken the last several years of building to get into place so that we can now expand the distribution. But to address your question specifically as it relates to the wirehouses, we have about 10 wholesalers and a similar amount 12 in the independent broker dealer channel. As it relates to product, so initially because we were focused on the wirehouses and the qualified purchasers we were largely distributing our drawdown product, the same institutional product but in working with the firms we identified a real need for mass affluence and also those in the $1 million to $5 million range to also have access. So in addition to that we have really worked very closely to leverage our team capability in the investing groups and develop more product that have structures that are either semi liquid or more liquid. So I would say today if we look at over the last 12 months, it's roughly split evenly, liquid, illiquid product sales and you will continue to see more product developments happening, so I'm excited and it's early stage, and just to highlight where we are even though we are much further along than most and I think we have the broadest product array anyone could offer given our global platforms across the board, one of the big wirehouses we have been working with for several years, we have looked at penetration there and even for those FA's who sell our product we are about 20% penetrated, when we look across the entire system we are 5%, so I think the upside is quite significant.
Tony James: We have got the beginnings of sales force that's going direct to large family offices as well in addition to the 22 people you mentioned.
Joan Solotar: Yes, so we have a team both here as well as abroad and actually even on the more institutional side focused on private things internationally as well, and their of course we are trying to find solutions for family offices, multifamily offices.
Craig Siegenthaler: Thank you.
Joan Solotar: Sure.
Tony James: Tony we can take the next question please.
Operator: Your next question comes from the line of Mr. Glenn Schorr of Evercore ISI, Mr. Glenn Schorr, please proceed.
Glenn Schorr: A question on interest structure overall, I think on the earlier call the immediate call you had mentioned having to pass on certain opportunities just waiting for the funding for this fund, so now that we are getting a lot closer to the first close if we could talk about what kind of opportunities are out there, its public versus private, existing versus new build, I'm just curious on what is happening now beneath the covers as you build the back book if you will?
Tony James: Okay Glenn, I will take that one. Let me start by saying, as we mentioned on the media call we are just beginning the institutional part of the fund raise, so we are not in a position to be executing transactions at this point, and won't to till we get close to having capital in hand - you shouldn’t expect to see it until the middle part of next year as a fact no matter in terms of deals being kind of being inked. The opportunities, again, as mentioned in the immediate call we think there are interesting opportunities in a number of areas. Number one, public and privates were asked this morning and that we think there is opportunities to take existing public companies private, enhance the operations and create some enduring value for our investors. There are also a number of assets that were owned by large companies that are infrastructure type assets which would add much more value for that company than embedded in that company given where the multiple of those companies chase. So think there will be major corporations, companies, others repositioning those assets into the infrastructure market. Thirdly, there is a number of infrastructure players that are looking for expansion capital to further build up their networks. That’s been a fruitful area for us. We think that will continue in more private equity funds and more of the kind of newer stuff, but it also extends right on into core and core+ infrastructure. We think that will be interesting. Over time, we will move more towards new build, really high quality assets, but that will take time. The gestation period of those transactions is long. But there will be definitely opportunities there for us as well. So that’s the kind of talent that we see.
Glenn Schorr: Okay, I appreciate that.
Tony James: Thanks Glenn.
Operator: Thank you for your question. Your next question comes from the line of Mr. Bill Katz with Citigroup. Please proceed.
William Katz: Okay. Thanks very much for taking the question this morning. Also sort of coming off the immediate call, you highlighted both sort of building up of permanent capital as well as opportunity on the insurance side. Just sort of wondering if you could talk may be a little flush out both of those initiatives and so how you think the opportunity might roll out in 2018 and 2019?
Tony James: Okay. Well, on the permanent capital side, we have a growing number of permanent capital vehicles in each of our businesses. And I would think that you should anticipate that we are going to continue to try to evolve our business more and more towards that kind of vehicles because the traditional draw down fund is a bit of a treadmill, as you grow you put money out and then you got to sell assets and a lot of times what you have to do to return capital to investors you are getting to sell your best assets. And that seems kind of like to us in a way if you got a great asset it has a lot of future potential why sell it and why not let it work for investors longer. And one of the underlying thesis we have got in this firm is that where interest rates come down real rates to near zero, you are going to have that high compounding returns and you can substitute that in terms of serving investors need by extending the duration of your holding some of your assets. So for example, you can be a lot richer if you hold an asset for 10 years earning 12% than if you hold an asset for four years earnings 25%. And so extending the duration letting that money work for people longer at attractive compounded rates is one of the ways we serve our investors better. That drives us more towards permanent capital vehicle and then from our public investor standpoint those vehicles have the advantages of holding the assets longer. So it allows us to compound AUM growth, allowing the assets to work for you longer, so you get growth and you get the growth in AUM from the compounding and of course allowing us to harvest carries by not actually having the equally to the assets and that makes carries both steadier and allows the AUM to keep growing. So, we think it’s a good model for a lot of businesses. And as Joan was saying for certain target investors, we have to change the form of our funds to fit those markets better. So, that’s another reason that we are doing this, so for all those reasons we are moving more towards the permanent capital. In terms of the insurance, we have had our products in insurance companies for some time, a lot of the new products were developing the private credit, the permanent capital vehicles, the yield orient products, many of them have some very attractive capital treatment on insurance companies, we have got a full products suite. As you know we own something call Harington which is a reinsurance company, we are in the process are buying without Fidelity and Guarantee life, we got other things going on. So, it’s a continuation of a trend and I think you should expect to see that accelerating.
William Katz: Okay. Thank you.
Operator: Thank you for your question. Your next question comes from the line of Mr. Chris Shutler, William Blair. Please proceed.
Christopher Shutler: Hey, guys. Good morning. FREs is going to be a nicely this year, it looks like on pace to exceed a dollar per share. So, maybe talk about the trajectory of that number looking out to 2018, the key drivers and I guess the specifically do you expect continued double-digit growth in FRE next year?
Michael Chae: Hi, Chris I think at this point we wouldn’t want to get too granular on projecting or the drivers of 2018. But we certainly expect them to be healthy. We expect the AUM growth to be quite healthy. And so, I think broad strokes we certainly expect it to be continue to be in the double-digit percentage growth area, but at this point probably wouldn’t want to refine it further.
Christopher Shutler: Okay. I guess just one more on the private equity and real estate. The appreciation and the opportunistic funds carry values was very strong in the last 12 month, I think double – about double of what it was over the previous 12 months. Obviously public markets have been positive, better economic backdrop in general, I’m sure has helped. But anything else that you point to on why the appreciation has really accelerated? Thank you.
Michael Chae: Look I think as Steve mentioned, Tony mentioned on the prior call, it is a combination of let’s call it Alpha and Beta. The market backdrop has been supportive but the companies have been performing through the - we would like to think the value creation efforts that underpinned the investments we always we think. So, I think both forces have been very positive.
Operator: Thank you for your question. Your next question comes from the line of Brian Bedell of Deutsche Bank. Please proceed.
Brian Bedell: Great, Thanks very much. Just one clarification on the FRE, going to the prior question on FRE for 2018. Are you expecting infrastructure fund raise to begin impacting that, I think you mentioned the potential beginning deployment sometime later or sometime in 2018 any impact from them in 2018 or is that really more of a 2019 impact there?
Michael Chae: We would expect some impact but I would say modest in 2018.
Brian Bedell: And then just back on the retail strategy, so obviously as sort of a increasing momentum it sounds like in terms of the opportunity how do you think Joan about growing that business and adding a lot more capacity on the sales side and do you feel like you have enough product capacity currently to satisfy that demand or is more product development from the structure perspective necessary?
Joan Solotar: That's a great question. So as you know with the draw down funds we are largely oversubscribed even for institutions and so the goal isn't just to raise as much capital as possible, and I think the growth will come from expanding the penetration or deepening the penetration into the current channels and expanding those channels as we are an independent broker dealer and also developing product which we are doing, and it's really the bespoke for these channels based on their needs and one example in real estate if you think about it. And the institutional channel it's longer draw down which is only accessible to qualified purchasers whereas a lot of individuals want yields and we were able to leverage the real estate investing group, same investing platform but identify assets that were more yield oriented rather than gain and put it in a structure that was accessible to them. I think one other important point and this is kind of a timeline of history, back in the day when defined benefit plans really were the majority of how folks were planning for their retirement everyone had access to alternatives in that sense and today even teachers, policemen et cetera, probably 20%, 25%, of their pension funds are invested in alternative. These products today are not allowed to be embedded by and large in 401K because of the liquidity and so most individuals just have not had access and when you talk to advisors their targets are anywhere from 10% to 20% per individuals but today the penetration is really more like 2%, 3%, so how are they going to fill that gap and we are really working with them on a appropriate products to be able to do that and that's anything from developing daily liquidity product to semi liquid product and I think you will see more of that overtime.
Brian Bedell: And it sounds like you can really greatly expand that capacity even on the sales force side I would think to better leverage that opportunity, I mean would you say that 18%, not connected on the denominator but at least the numerator of that 18% could double over the next couple of years?
Joan Solotar: I think it's really not just throwing bodies at it, we need to be smart about the technology analytics that we are using in order to reach more people and some of it's just time. We had this past year 2,500 advisors come through, Blackstone Universities around the world, we are continuing to educate advisors and really develop a relationship. So I want to caution a little bit it's not just that you go to a distributor and say hey here is our product put on the platform and it sells itself. It’s really forming a partnership with the advisor to help them improve their business, taking the time to educate them providing great service, reporting et cetera. And so there will be a continuous build.
Tony James: See, just Brian also I want to mention, if you think about the return pyramid out there in terms of global opportunities, at the top of the pyramid at the narrow point you get the very, very high returns of private equity in the breadth and shared dollar availability of that is slow. As you move down the risk and return spectrum, that pyramid gets wider and wider. So some of the areas that we are getting into are vast in terms of the opportunity set and the amount of capital we can raise by comparison too they are really kind of a high risk high return draw down funds where we started. So we are opening up big, big frontiers.
Brian Bedell: Great, it sounds very exciting. Thanks very much.
Tony James: Thanks Brian.
Operator: Thank you for your question. Your next question comes from the line of Alex Blostein of Goldman Sachs. Please proceed.
Alexander Blostein: Hey, good morning everyone. A question guys around acquisitions, specifically Harvest and I guess kind of broader acquisition landscape. So could you spend a little bit of time on giving us more color on the product that you mentioned today, how they are structured, and I guess more importantly what the revenue opportunities could look like for that business when you plug in into your distribution force? I guess then as a follow-up just broadening around the upside for more deals and kind of any particular area of interest? Thanks.
Stephen Schwarzman: Okay. Well I’m not going to get in projecting what we are going to with Harvest at this stage, but sufficed to say as Michael said it’s a very high quality niche manager and in segment of the markets which are largely protected from the big commodity flows there is only a handful of good MLP managers, the Harvest guys have outperformed a lot in the rest of the market. So we think it’s niche manager that has focused its distribution on institutional accounts, but then again they don’t have anything like our distribution or relationship set into that market. So we can help them a lot in their core market. And they have essentially no retail products. So they have - what they have I would say some commingle funds, some SMAs doing MLPs. We can take that we think not only broader institutionally, but as a foot through the retail channel as Joan was talking about. And we think we can significantly increase their AUM at risk of - and I’m not going to deal the time on revenues and so and so but we think we can more than double their AUM.
Joan Solotar: Next question please.
Operator: Your next question comes from the line of Robert Lee of KBW. Please proceed.
Robert Lee: Great, thanks. Thanks for taking my question. Clearly capital raising has been going very well for you guys and expectations are high. I’m just kind of curious though how you think return expectations are evolving just given what asset values have done over the last nine years, all the capital out there. And I guess as part of that what do you feel is like the return premium and sure various by product if we think of maybe PE and your real estate opportunistic business. What is kind of the term premium that you think LPs are expecting in order in exchange for the green to kind of the long-term walk ups? Just trying to get a sense as you know where you think there has that?
Michael Chae: Okay. I will start and I think Steve might want to join in. And we might have different opinion on this, so let’s see where it goes. My own view is that LPs return expectations have come down slightly. I frankly think more than I tell us because they want to keep the bar high for us and of course that’s final with us, because we want to exceed the high by ourselves. Depending on the LP for the traditional draw down opportunistic funds real estate or private equity most LPs will say I want to do 500 basis points more than the public markets. Although I think there is a number that would it met there happy with 300 above net of fees in carry about the public markets. Then that gets you until what are the public market is going to do going forward, my own personal view is, and I think most of them are now S&P kind of would be 5% to 6% that sort of range. So, that sets the bar of if you look at that 8% to 12%, 8% to 11% which is much, much lower than what we set for ourselves. And as Steve mentioned in these areas we have done 15%, 16% forever, every holding period, every fund, we have never had a losing fund and so on and so forth and we continue to expect to deliver returns in that ballpark and so, I think we will be widely above their true expectations and that will continue to drive fund raising and increasingly they’ll allocate more assets as asset class as they should. Steve?
Steve Schwarzman: I guess if we were having an open conversation which in turn where we are, the returns expecting our higher, we are in the business of delivering the same high returns that we were. It maybe a little harder into today’s environment, [indiscernible] 100 basis points. But, we are doing as the firm, as you can tell from the overall sort of approaches that both Michael and Tony are taking is we are designing product at different return points, because what we found is that it’s a not a unified view on this posture. And so more than ever in my carrier is some people are satisfied with products, with current income but yields seven in overall where you know treasury and other people are looking through insuring to the lower teens and some are looking [Technical Difficulty]. And so we were trying to do as business, and I think we have been quite successful is segmenting promise to appeal to people who want returns of different type and this is relatively new in terms of how the world is going. And then we also have people who in the conservative business with markets generally high around the world, they are just really focused on you know I really don't want to lose money, when things come down, what can we do to take care of that issue, and so we are now much more segmented and we are doing that as a strategy and we are also simultaneously rolling that out globally. So this is like an unbelievably exciting business expansion if you will where we could perform really well [Technical Difficulty] we manage to keep segmenting to hit results of a certain type for a certain target group of investors and we are able to do that and that's a big power of the firm is doing now strategically and I believe that we are uniquely positioned to do that in the alternative class, because we are the only people who are in all of these platforms. [Technical Difficulty] in everyone of these and ability to keep innovating taking very large amounts of money and putting them out, because it's not large amounts to [Technical Difficulty]that strategy and everything is geared to have terrific performance up with the target expectation of whoever we are managing money for. So it's a lot of fund, and everybody at the firm is charged up because we are hitting new niches in the part of the key running a really good financial services firm is getting there early and right with the timing and not being like a follow-on person after the opportunity sort of played out, and that's something that we have been doing for 30 years and there is lots of opportunities to do that in the future. That's a longer answer than you may have want it, but I have been relatively quiet.
Robert Lee: That’s good. Thank you.
Operator: Thank you for your question. Your next question comes from the line of Michael Cyprys, please proceed of Morgan Stanley.
Michael Cyprys: I just wanted to ask about distress strategy, it looks like you raised about nearly 5 billion of capital for distress strategies in the quarter yet I think on the immediate call earlier Tony you mentioned that you're seeing more opportunities today and performing credit not as much out there and distressed, so can you just talk about your expectations for where you might be able to out some of these capital to work and how you're thinking about the timeframe there and the opportunities manifesting for distressed funds, the sort of catalyst might be?
Tony James: Sure Mike. As you know or as you may not know but that distressed fund is a traditional drawdown fund and once it's invested and it comes to the end of its life we go and fund raise. They have investment period is typically of about six years, so you're not raising a fund like that to take advantage of opportunity at a moment in time markets. The fund raising itself takes a year, it takes you four or five years to get the money, most of the money put to work and then you hold the things for four or five years. So it's a asset class that you have to commit to through the cycle and through the cycle it will treat you well. At this point, economies are good, markets are good even sort of stressed companies can finance. So it’s meaning there is not as many opportunities as we might like. There are always things of course, there are always companies that stumbled either because of things beyond their control, oil prices, the Internet impacting retail, regulatory changes and one thing and another, and there are always companies that stumble because of self inflected wounds, overpaying for acquisitions, management change and one thing and another. So there are always opportunities and it’s just a question of right now the volume. The economy won’t grow forever, interest rates won’t be near zero forever and I think that we will see plenty of opportunities in the investment period for this fund.
Michael Cyprys: Great, thanks. Just a quick follow-up question. Just curious how you are integrating data and technology in key investment process today and how you think that might evolve over the next three to five years?
Tony James: That’s a really interesting question because it’s something that we have ratcheted it up dramatically here in the last -- in this year I would say. It’s up and Steve has been pushing us all on. And so we have a number of initiatives really took to look at the use of data frankly and the development and sale of data that we have embedded in our portfolio of companies. That’s an ongoing exploration I think at this point, but we have now set up a specific dedicated team, data team if you will to inform our investment processes, number one, internal. Number two, figure out what might be harvestable, mineable and monetizable. And three, to work with deal team looking at portfolio companies both to use data and make better investment decisions, but also to use the new technology that is evolving out there to help our companies operate better. And so that will be a common like our portfolio ops, a common research to all of our different investments businesses. And so I’m excited about the possibilities there, but it’s early days.
Michael Cyprys: Great. Is that something that could be meaningful in terms of revenue at some point to the firm when you mentioned sale of data?
Tony James: I think that’s way too early to say and I’m not sure that the way to monetize it will be to sell it. Another way to monetize it might be to build investment products around it. We will just have to explore that. But in terms of like the time horizon that you deal with in terms of stocks, not significant.
Michael Cyprys: Okay. Thanks so much.
Stephen Schwarzman: Thanks Mike.
Operator: Thank you. Your next question comes from the line of Mr. Mike Carrier of Bank of America/Merrill Lynch. Please proceed.
Michael Carrier: Thanks for taking the question. Hey Michael just may be on the realization activity. Thanks for the color for the fourth quarter and this year is setting up to be a big year. Just wanted to get a sense if we look over to next a couple of years we can see the returns, meaning the returns available, the net accrued carries building. So things look good. Any color on like seasoning the portfolios, just to gauge if this is and again 2017 is sustainable but just what may be the outlook is in a constructive market backdrop, just given where the portfolio sit today?
Michael Chae: That’s a good question Mike. I think I discussed I think the robustness of sort of the magnitude of the receivable right that really is return to the levels from a couple of years ago. I think when you think about the composition of it, something like just under 40% of the current receivable is public, is liquid and that obviously is kind of reflection of maturity and it’s been closer monetization. The vintage year mix I think is pretty similar in the past, but I did want to underscore in my remarks that we are really gratified by the fact that some of the vintages and highlighter real estate that are a bit younger right for 2012, 2013, 2014, 2015 and we have made some big investments at that time and at the time maybe some people thought markets were elevated where they would be good deals and they have really season quickly and are being converted into DE. So that I think that’s part of what has driven the value creation at this point what will drive the DE run way from here. So, it’s just a mix of a couple of metrics and then sort of qualitative sense. But we certainly feel like when you sit back, we have sort of transition from a carry receivable that only a couple of years ago was largely driven by some of the big pre IPO funds and is was full of public positions to one that has remained stable to even growing. And as we have transition to sort to the more recent vintages.
Michael Carrier: Okay. Thanks a lot.
Stephen Schwarzman: Thanks, Mike.
Operator: Thank you for your question. Your next question comes from the line of Mr. Patrick Davitt, Autonomous Research US LP. Please proceed.
Patrick Davitt: Hey. Good morning guys. Thank you. It’s looking like the European NPL opportunity it feels like that we have been talking about for years may actually happen sooner rather than later. Could you speak your view on that finally unlocking and within that how much of your dry powder has a mandate to invest in those kind of assets. And which one is specifically that would be?
Tony James: Okay. Well, I’m not going to inventory all the funds, but suffice to say that we generally have pockets that can do NPLs and GSL and real estate, Tac Opps and in BAAM. And I think that depending on the NPL all of those funds have participated in NPL acquisitions around Europe in the past year. The biggest area has been Spain and we just closed a very large transaction there, about $10 billion of the NPLs. But, Italy is another big area and we have initiatives with other countries as well. So, yes it’s coming alive, there is pressure from the central banks and banks to clean that up. By the way it’s not just Europe we are starting to see those same pressure let say trends in India as well. So, I think it’s going to be continue - it’s been good for us, by the way the NPL portfolio as we have got and bought have performed very, very well and I think it will continue to be an attractive area.
Patrick Davitt: Thanks.
Operator: Thank you for your question. Your next question, your final question comes from the line of Mr. Devin Ryan of JMP Securities. Thank you, sir. Please proceed.
Devin Ryan: Well, my questions have been asked. So, we are going to leave at there. But thank you very much.
Operator: We will now turn the call back over to speaker for closing remarks and thank you.
Tony James: Great, thanks everyone for joining us, and please reach out with any questions.
Operator: Ladies and gentlemen, that concludes today's presentation, you may now disconnect, and everyone have a great day.